Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Eaton Second Quarter Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question and answer session. Instructions will be given at that time. As a reminder, this conference is being recorded. I would now like to turn the conference over to our host, Senior Vice President of Investor Relations, Mr. Don Bullock. Please go ahead.
Donald H. Bullock - Eaton Corp. Plc: Good morning. I'm Don Bullock, Eaton's Senior Vice President of Investor Relations. Thank you all for joining us for today for Eaton's Second Quarter 2018 Earnings Call. With me today are Craig Arnold, our Chairman and CEO; and Rick Fearon, our Vice Chairman and Chief Financial and Planning Officer. Our agenda today includes opening remarks by Craig, highlighting both the performance in the second quarter and our outlook for the remainder of 2018. As we've done historically in our past calls, we'll be taking questions at the end of Craig's comments. Before we do, I want to remind you of a couple of things. First, the press release from our earnings announcement this morning and the presentation we'll go through today have been posted at our website at www.eaton.com. Please note that the press release and the presentation both include reconciliations to any non-GAAP measures, and a webcast of today's call is going to be accessible on our website and is available for replay for those who aren't able to join us. Before we get started, I do want to remind you that our comments today will include statements related to expected future results of the company and are therefore forward-looking statements. Actual results can differ materially from those forecasted projections due to a whole range of risk and uncertainties that are described both in the earnings release and our presentation and our related 8-K. With that behind us, I'll turn it over to Craig to go through our presentation.
Craig Arnold - Eaton Corp. Plc: Okay. Thanks, Don. Appreciate it. Just before we get started with Q2 results, I did want to take an opportunity to once again emphasize the three primary elements of our corporate strategy. I'm sure you've worked through most of the financials already, but first and foremost, we remain focused as a company on delivering organic growth. Our initiatives are very specific by business, but generally they include investing to create industry-leading products and technologies, leveraging partnerships with distributors and third parties, creating value products and services that allow us to more fully participate across the opportunities we see. So in short, what we're trying to do is find opportunities to say yes more often and doing it in a way that solves customer problems but also delivers attractive returns. Second, we continue to expand our margins by improving productivity in our factories and in our functions and by selectively undertaking restructuring initiatives that allow us to eliminate redundancies, eliminate waste and really being more selective on how we spend our time moving away from marginal activities, but just as importantly, doubling down on those areas where we have the right to win with attractive returns. Third, we'll maintain our disciplined approach to capital allocation which begins with investing to win in all of our existing businesses. We'll also consistently return cash to shareholders in the form of industry-leading dividends, share repurchases, and by maintaining our rigor as we evaluate M&A opportunities against our hurdle rate. We think by continuously delivering on these components, we'll generate superior value for our shareholders both in the short-term and the long-term. And in the context of that kind of strategic overview, we also thought we'd take an opportunity to just highlight once again this quarter a number of places where we've made a bit of progress against these strategic initiatives. And on page four, I've highlighted a few of the examples. First, in our efforts to grow, I point to our presence in the fast-growing data center market which continues to pay off. In fact, we booked record orders in the first half of the year. We're seeing strong global demand for new facilities in hyperscale and Internet 2.0 applications, and importantly, we're winning in this space. We also entered into a new joint venture with Shaanxi Fast Gear for light duty transmissions to serve the Chinese market. The JV combines Eaton's broad transmission technology with the leading transmission company in China and allows us to participate in the world's largest light vehicle market. We also made solid progress on our digitization initiatives, and while too many to note, I would point out a few examples of progress made in the quarter. We launched an IoT enabled home lighting solution. We deployed an IoT enabled hydraulic system in sugar cane harvest applications as well as in hydraulic fracturing. We formed an industry cybersecurity partnership with the Rochester Institute of Technology which allows us to advance the common and secure IoT platform that we intend to deploy on all of our products. And so really solid progress as we continue to digitize the company and focus on opportunities to grow with these new technologies. And while just getting started, we did secure our first high voltage converter order in our newly formed eMobility segment. And lastly, we added significant capacity to our hydraulics hose business enabling us to sharply reduce lead times and expand our presence in the high volume segment of the market. So while not a complete list, these are examples that hopefully provide you with a sense of how we're moving our strategic priorities forward and how we're also investing in the future. Now turning to our financial results for Q2 on page five, I'll just add some context to what you've already seen in the results. First of all, we think a very strong quarter of performance by our businesses. Earnings at $1.39, up 21% over Q2 of 2017 and at the high end of our guidance range. Our performance was driven by both strong revenue and record margins. Organic revenue up 7% was actually the highest reported growth since Q4 2011. FX added 1% offset by 1% in divestitures. Bookings accelerated in most segments, but especially in Electrical Systems & Services and Aerospace, which were both up solid double digit. We generated all-time record segment margins of 17% based upon strong volume growth and strong incrementals, and we think once again demonstrated the ongoing benefits of our multiyear restructuring program and how those benefits are coming true. Operating cash flow was $499 million in the quarter, and while not as strong as you might have expected, cash was impacted by adding working capital to support increased growth as well as by selectively pre-buying inventory to mitigate impacts of the trade tariffs. And finally, we repurchased $300 million of our shares in the quarter bringing year to date purchases to $600 million, 1.7% of shares outstanding at the start of the year. So we think really strong, balanced performance across the company. Turning to page six, we'll provide a summary of the consolidated results for the quarter, and here I just highlight a couple of elements of the income statement. We talked about the sales increase which really allowed us to increase segment operating margins by 16% and net income by 18%, earnings per share up 21% in Q2, and this compares to 15% in Q1. And lastly, we did deliver 11.1% after-tax margins in the quarter. Moving to the segments, I'll start with Electrical Products. Our revenues were up 4%, 3% coming from organic growth, and this is up from the 1% growth we reported in Q1. In the quarter, we saw particular revenue strength in industrial markets, especially in the Americas and the EMEA market, Europe, Middle East and Africa. Total bookings were up 4% in the quarter, and excluding Lighting, bookings were actually up 7%, which is a step up from Q1 bookings where, also excluding Lighting, they increased 2%. So this business is also ramping favorably. Order strength was broad, driven by both industrial and residential markets. I would also note that lighting markets appear to have stabilized, and we expect to see low single digit market growth in the second half of the year. Importantly, our margins in the quarter were up 120 basis points to 18.5%, which is a second quarter record. So strong conversion in our Electrical Products business. Next, the results for our Electrical Systems & Service business is on page eight. Revenues increased a solid 7% in the quarter, and this is up from the 2% growth that we saw in Q1. Foreign exchange added 1% which was offset by negative 1% from a small divestiture in a joint venture. In the quarter, we saw revenue strength in industrial projects, in data centers, and solid growth in harsh and hazardous markets. We generate very strong bookings growth of 15% with strength in the Americas and Asia Pacific and bookings were especially strong in large industrial projects and in data centers. And our backlog continued to grow increasing 14% in the quarter, and we think position the business well for continued growth in the second half of 2018 and certainly into 2019 as well. Operating margins were 15%, up 130 basis points, and we delivered strong leverage as the 7% sales increase resulted in a 17% increase in operating profits. Moving to page nine, here we cover the Hydraulics results. Sales increased 14% in the quarter, 13% organic, 1% positive FX. Revenues were strong with both mobile OEMs and across the distribution channel. Bookings were actually down 1% in the quarter, and this does take a little bit of an explanation, but this included Asia Pacific up 15%, the Americas up 4%, offset by EMEA down 21%. And while impacting orders, the lower EMEA number is actually the result of our operational improvements and capacity investments that we've made to shorten delivery lead times, and this has reduced naturally our customers' need to place long-dated orders And certainly when we take a look at our backlog, it increased some 26% year to date and this certainly gives us confidence that this market remains strong. Margins at 14% were up 230 basis points, so we continue to see the benefits of restructuring efforts here as well as leverage from the higher volume. However, I would note as we discussed on prior calls, we continue to experience challenges as we ramp up production to support the strong growth levels and most of the challenges are coming from the supply base which has really struggled to keep pace with the higher demand. Next, our Aerospace business is listed on page 10. Sales were up 6%, all organic. The sales growth was driven by strong activity in military OE across all segments, biz jets and commercial aftermarket. Orders were even stronger, up 18%, with strength in both military and commercial aftermarket, business jet, military fighters and military rotorcraft. Our backlog also remains strong and is up 13% over prior year. And lastly, operating margins were once again very strong, 19.4% and up 90 basis points over prior year. Turning to page 11, our Vehicle business had another strong quarter. Sales increased 6%. Organic revenues were actually up 11% and the divestiture impact of the joint venture that we formed with Cummins was a negative 5%. NAFTA heavy duty truck production was up 15% in Q2 following more than 40% in Q1. So this market continues to be very strong. We continue to expect NAFTA heavy duty truck production to be at 295,000 units for 2018 which implies a modest growth in the second half of the year on more difficult comps. And I'd also note that the industry is seeing a few supplier challenges that will likely limit second half production but pushing production into 2019. And in the automotive markets, both Europe and China are stronger than we originally anticipated and the U.S. market is really coming in about on expectations. So really broad strength in our Vehicle business. I'd also note that the Eaton Cummins joint venture is doing well. Revenues grew to $141 million in the quarter, so very strong growth in our joint venture. And margins were at 18.5%, up 180 basis points from prior year on strong revenue. And finally, results in our eMobility segment are shown on slide 12. Sales in the quarter were up 15%, 14% organic, and having just formed the business in Q1, we're pleased to announce that we have in fact won our first high voltage converter order, one of the key products that we've just begun selling into the electrical vehicle market. And our pipeline of opportunities perhaps more importantly is 2X what it was in Q1, so we continue to see tremendous growth in the opportunities that we're having an opportunity to quote on for customers. Margins were 16.9%, down 120 basis points reflecting really the additional R&D investment but very much in line with our expectations. On page 13, we've updated our organic growth outlook for 2018. Our end markets continue to grow above our original expectations in a number of our businesses and so we're increasing our full-year organic growth estimate from 5% to 6%. The continued strength in orders from Electrical Systems & Services has led to an acceleration of organic growth and we're now forecasting growth of 6%. We're also increasing the organic growth outlook for our Aerospace business to 6% on strength in both military and commercial markets. And finally, our Vehicle business continues to perform at a high level and we're increasing our organic growth guidance to 6% for the full year as well. You'll also recall that we increased our Vehicle segment organic growth estimate following a strong Q1 as well. Overall, a 1% change for Eaton and this is on top of the 1% increase that we provided as a part of our Q1 guidance. Moving to page 14, we'd like to provide just a bit of perspective on where we think our businesses are in the economic cycle and why we think conditions are setting up well for the second half 2018 and really going into 2019. Now, as this chart demonstrates, we think that our end markets are currently – where our end markets are currently at in terms of the economic cycle. As you can see, most of our end markets are in the early to mid-growth stage, which we think bodes well for continued market growth. The majority of Eaton's revenue comes from businesses that are in the early to mid part of the growth cycle, and this includes many of our larger businesses like long-cycle Electrical Systems & Services segment. So overall, we think our businesses will continue to have a market tailwind for some time to come, and we would expect to, as well, grow faster than our end markets. On page 15, we provide an update on our thoughts regarding raw material inflation as well as the estimated impact from tariffs. As we communicated at the beginning of the year, we continue to execute on our strategy of offsetting raw material and logistics cost inflation with price and cost out actions. We moved quickly with pricing actions in the first half of 2018, and as a result, we expect no negative EPS impact in 2018 from additional commodity inflation. With regard to tariffs, we think there will be a very modest cost impact for our businesses overall, some $65 million. But we also fully expect to mitigate this increase through actions that are currently underway or will shortly be implemented in our businesses. So I won't go through the tariff details in a lot of detail, but I would emphasize kind of the two main points. And one, our long-term strategy has been and continues to be to manufacture in the same zone in which we sell, and this certainly reduces the tariff impact on Eaton. And secondly, we're committed to move swiftly to take pricing actions to offset any tariff impact that we do see in our businesses. Moving to margin guidance on slide 16, we're increasing margins for three of our segments where we're seeing stronger than expected organic growth and solid performance. These include Electrical Systems & Services, up 20 basis points; Aerospace, up 30 basis points; and Vehicle up 50 basis points. We are lowering our guidance for Hydraulics to a range of 13.7% to 14.3%, which is a 50 basis points reduction at the midpoint. This is in response to supply chain challenges and inefficiencies as volume continues to grow at these strong paces. And our full-year margin guidance remains in the range of 16.4% to 17% and really places us on a solid trajectory to achieve our 17% to 18% margin targets that we set for 2020. And finally on page 17, we provide a summary of our Q3 and 2018 guidance. For Q3, we expect EPS of between $1.35 and $1.45, and this assumes 7% organic growth. We expect margins to be 16.9% to 17.3%, and a tax rate of 13% to 14%. For the full year 2018, we are again increasing our full-year EPS guidance to a range of $5.20 to $5.40, which is a 10% increase at the midpoint. Organic revenue growth is now expected to be up 6% versus 5% previously. Foreign exchange is now expected to be only a $50 million positive which is down from the $200 million that we had in our prior estimate. Segment margins will be in the 16.4% to 17%, as earlier noted. No change in our cash flow or free cash flow guidance, and corporate expenses, tax rate, CapEx share repurchase assumptions all remain unchanged from prior guidance. So just before I hand it back to Don, I did want to once again take this opportunity to summarize why we think Eaton is an attractive investment opportunity. As you can see, and we talked about, our markets have returned to growth. The next few years will be much better than the last few. In addition, we have a number of really attractive organic growth initiatives that we think will allow us to continue to grow faster than our end markets. And our restructuring is paying off. Our 2018 margins will be at an all-time high, and we have plenty of room to continue to improve them. Our balance sheet is in great shape. Net debt-to-capital is at 30%, and our pension plan is now 96% funded. Our cash flow continues to be strong, and we expect to consistently deliver free cash flow at or above 100% of net income while generating some $8 billion of free cash flow over the next three years. We're also returning cash to shareholders through a high dividend yield, 3.3% today, and buying back shares 1% to 2% on an ongoing basis. And lastly, as we committed, we'll deliver 11% to 12% EPS growth over the next three years, and so we think once again solid performance this quarter, a positive outlook, and we think a really compelling story for investing in Eaton. So with that, I'll stop and turn it back to Don for Q&A.
Donald H. Bullock - Eaton Corp. Plc: Okay. Our operator's going to provide guidance on participating in the Q&A.
Operator: Thank you.
Donald H. Bullock - Eaton Corp. Plc: Before we jump into the Q&A, we do see we have a number of people on the call and we also have a number of calls going on simultaneously to this time so I want to be very sensitive to the timing of that. So if we would please limit yourself to a call and a follow-up call. And with that, our first question comes – question and follow-up question, excuse me. And our first question comes from Jeff Sprague with Vertical Research.
Jeffrey Todd Sprague - Vertical Research Partners LLC: Thank you. Good morning.
Richard H. Fearon - Eaton Corp. Plc: Hi.
Jeffrey Todd Sprague - Vertical Research Partners LLC: Hey. Great momentum. I think one interesting question given that you guys report a little later than others is what you're seeing in July. I'd say it's somewhat implicit in your Q3 guidance obviously, but was there some element of pre-buying or other activity in June as people were looking at tariffs? And did you see any let-up in July?
Craig Arnold - Eaton Corp. Plc: Yeah, I think the short answer to the question, Jeff, is no. We really did not see any pre-buy of any measure, and what we've seen to date in July is very much consistent with the patterns that we've been seeing. So absolutely everything that we've forecasted in the outlook for the company is very much consistent with the way the businesses have been performing.
Jeffrey Todd Sprague - Vertical Research Partners LLC: Right. And then just to be clear on price-cost, what you're saying is kind of underlying price-cost, you're caught up or have visibility on being caught up but there's still actions that need to be taken on tariffs? Can you clarify that?
Craig Arnold - Eaton Corp. Plc: There's still a fair amount of uncertainty as it relates to the implementation of 301. And so what I would tell you is what we know about to date and what has been announced to date we have very much either announced or implemented plans to offset that impact. There's a lot of uncertainty as you think about the step 2, step 3 of 301 and what actually happens that obviously we don't have visibility into, and those actions, if they are implemented as speculated, then we would have to take additional actions down the road. But everything that we've seen to date and everything that's been announced to date is very much already baked into our guidance and plans are very much already implemented or in the phase of being implemented.
Jeffrey Todd Sprague - Vertical Research Partners LLC: Thanks. I'll hold it to two and pass the baton.
Donald H. Bullock - Eaton Corp. Plc: Okay. Thank you. Our next question comes from Joe Ritchie of Goldman Sachs.
Joe Ritchie - Goldman Sachs & Co. LLC: Thanks. Good morning, everyone.
Richard H. Fearon - Eaton Corp. Plc: Hi.
Craig Arnold - Eaton Corp. Plc: Morning.
Joe Ritchie - Goldman Sachs & Co. LLC: So organic bookings in ESS, obviously really good to see the progress that you're seeing there and finally seeing some of that growth materialize. Craig, my first question is maybe touch on what you're seeing from like a leading indicator perspective on the data center stuff, the industrial projects, and how you feel about that business on the go forward.
Craig Arnold - Eaton Corp. Plc: Yeah, and I appreciate your question. Certainly the few big businesses that are inside of Electrical Systems & Services would include our power distribution and controls assemblies, our commercial distribution assemblies our power quality business and also Crouse-Hinds. And I'd say in all four of those very large businesses, we are seeing very strong order growth across the business. And so all four of those businesses are performing well. We talked about the fact that the backlog is up from 15%, and we saw strong orders, and those are the four businesses that are essentially driving the growth. And so very much as we anticipated for our Electrical Systems & Services business, perhaps even a little ahead of schedule, those businesses are late cycle businesses but are ramping right now and we expect to continue to perform for some time to come.
Joe Ritchie - Goldman Sachs & Co. LLC: Okay. That's great to hear. And then my second question maybe following up on Jeff's trade tariff question and more broadly on cost inflation. When you think about the different segments and your ability to offset cost inflation across the segments, where are you finding it the easiest or are you finding it difficult in some of your segments? Basically a question around pricing power and your ability to offset.
Craig Arnold - Eaton Corp. Plc: Sure. Again, and I'd say it's pretty much no different this cycle than it is any cycle. And to the extent that we're selling through distribution, distribution always tends to be a little easier. Price increases are good for our distributors, and they have the ability to pass it forward into the marketplace relatively easier. It's always more challenging with the big OEMs, but I would tell you that our plan's to pass it forward every place including in those places that have historically been a little bit more challenging. But I just think more generally speaking, distribution tends to be a bit easier than large OEMs, but we're not differentiating between the two. We're passing price increases equally through to all of our customers.
Joe Ritchie - Goldman Sachs & Co. LLC: Okay. Thank you. I'll pass it on.
Donald H. Bullock - Eaton Corp. Plc: Our next question comes from Scott Davis with Melius Research.
Scott Reed Davis - Melius Research LLC: Hey. Good morning, guys.
Richard H. Fearon - Eaton Corp. Plc: Hi.
Craig Arnold - Eaton Corp. Plc: Morning.
Scott Reed Davis - Melius Research LLC: The positive benefit of putting up these kind of numbers is you're kicking off a lot of cash. And we've seen some of your peers have a fairly active M&A pipeline and some direct comp, some not. But what do you think as far as priorities are concerned? With the amount of cash you're kicking off, it almost doesn't feel like buybacks can really keep up to the – can almost not keep up to the growth. But is M&A something that think will come back this year?
Craig Arnold - Eaton Corp. Plc: As we've stated in prior quarters, having paid down the last tranche of debt associated with the Cooper acquisition, the company is certainly in a position today both from an organizational capacity standpoint and from a cash standpoint that we have the ability today to re-enter the M&A market. And today I can tell you that we are looking at more opportunities than we have in quite some time. But having said that, we'll be disciplined as we think about how we value and price these transactions. We talk about a cost of capital of being 8% to 9% and saying we want a minimum of 300 basis points over our cost of capital. So we intend to be disciplined as we look at these opportunities. But having said that, we will not allow cash to build up on the balance sheet. To the extent that we're not able to land acquisitions, which we would hope to do, we'll certainly look for other ways of returning cash to shareholders.
Scott Reed Davis - Melius Research LLC: Fair enough. And then as a follow-up, in the Lighting business, you mentioned a return to growth in the back half of the year. Is that – is there also a sense of price stability that you're finally seeing in that market explicitly?
Craig Arnold - Eaton Corp. Plc: Yeah, I would say that as we talk about our own Lighting business and our own strategy with respect to Lighting is that we have made a decision to be perhaps more selective than others around business that we're chasing, and we made some adjustments in terms of where we focus our efforts. And I can tell you that as we think about the segments of the markets where we think are attractive and the places that we want to play, you generally see better pricing power, better pricing stability. I can't say if you think about the entire market at the low end of the market that that dynamic has changed dramatically. But the places that we anticipate playing and the places where we think we have an opportunity to sell differentiated value-added solutions, we do have a lot better pricing power in those markets.
Scott Reed Davis - Melius Research LLC: Okay. Sounds good. Thank you, guys. Good luck.
Donald H. Bullock - Eaton Corp. Plc: Our next question comes from Nigel Coe with Wolfe.
Nigel Coe - Wolfe Research LLC: Thanks. Good morning, guys.
Richard H. Fearon - Eaton Corp. Plc: Hi.
Nigel Coe - Wolfe Research LLC: So you called out data center as a strong end market, which shouldn't be a huge surprise, but I think it's the first time you've really specifically called data center end market strength. So I'm wondering is this pretty broad across geographies, or is it one of two super-sized data centers that you're starting to see coming through? And then just thinking about the ESS margins and we're starting to tilt now towards larger projects. Do you think that mix becomes a headwind as we go into the second half of the year, maybe 2019?
Craig Arnold - Eaton Corp. Plc: Yeah, I'd say to your first question around data centers and to your point, Nigel, it's one of the big secular trends that we certainly think bodes well for Eaton and will help generate long-term growth for our company. And it is broad. We're seeing growth in the data center markets really around the world, and as you move to hyperscale and colos and as the world just generates more and more data, we think that trend will continue for some time and will continue broadly. To your other question around margins, no, we don't anticipate that margins will be under pressure in this business, and I'd say quite frankly today if we take a look at where the industry sits today in electrical assemblies, for the most part, we have capacity constraints. Some of the demand that we're seeing today in our business is really pressing us and others to really deal with a lot of volume that we're looking at, and we're certainly looking at potentially adding capacity to deal with some of this increased demand. And so, no, I don't anticipate at all that margins will come under pressure and given the balance of capacity and demand, I think the market's in a great position today to actually get price.
Nigel Coe - Wolfe Research LLC: Great. Thanks. And a quick follow-on.
Richard H. Fearon - Eaton Corp. Plc: I just wanted to add one thing. We've seen a bigger – a larger proportion of complex large industrial type projects, and those tend to have higher margins. Inherently there are fewer people that can actually pursue projects of that nature. So that's another element to the margin outlook.
Nigel Coe - Wolfe Research LLC: Great. Thank you. And then quickly on the EP, it looked like Lighting was down roughly 10% in the quarter. Maybe you can clarify that. But what was the impact on operating leverage. You obviously had very strong margins for EP, but if we look at ex Lighting margins how did that look?
Craig Arnold - Eaton Corp. Plc: Yeah, I'm not sure of your math, but we know Lighting was down closer to 4% in the quarter, not 10%. But I'd say that today I could just tell you that it's better. I mean, we've not given specific margin numbers for our Lighting business, and I would just tell you that the margins in Lighting are certainly below, well below the average for the Electrical Products segment. And so they certainly have a negative impact on the overall margins for the segment. But inside of that, we have a fairly large Lighting business and still posted 18.5% margins in Electrical Products which I think is a real testament to the strength of the franchise.
Nigel Coe - Wolfe Research LLC: Great. Thank you.
Donald H. Bullock - Eaton Corp. Plc: Our next question comes from Nicole DeBlase with the Deutsche Bank.
Nicole Deblase - Deutsche Bank Securities, Inc.: Thanks. Good morning, guys.
Richard H. Fearon - Eaton Corp. Plc: Hi.
Nicole Deblase - Deutsche Bank Securities, Inc.: So I guess I want to start on ESS. If we look back into history since the Cooper acquisition, we've never really seen a real ESS recovery. So I guess if you could give us an idea of how order growth translates to revenue growth. Because it seems to me from the past three quarters that an acceleration in revenue growth could be in the cards.
Craig Arnold - Eaton Corp. Plc: Yeah, no, that would be our expectation as well, and if you think about it today, what's in the backlog – typically I'd say what's in the backlog, most of that becomes consumed within the next 12 to 15 months, probably 75% to 80% of it. And so it is a longer lead time business from project to delivery, but it's not two years out or 18 months out. It's much nearer term than that. And so we do anticipate that the strong orders that we're seeing in our Electrical Systems & Services business convert in a relatively short period of time into higher revenue growth.
Nicole Deblase - Deutsche Bank Securities, Inc.: Okay. Got it. Thanks, Craig. That's helpful. And maybe just one on Aerospace. Orders were also really, really strong there this quarter. I know that's a business that tends to see a lot of lumpiness. So if you could just frame the strength a little bit, where the growth was the strongest, and what your expectations are for the next several quarters.
Craig Arnold - Eaton Corp. Plc: Yeah, I appreciate your comment too. It is a place where orders tend to be a bit lumpy. But we really did see, I'd say, in this quarter with respect to orders, pretty broad strength. A lot of that came out of military markets. Certainly pretty broad across all segments of military, and so you're seeing some of the increase in the U.S. federal spending come through in fleet readiness and dealing with some of the historical underspending perhaps in our military. But also we saw very strong strength in aftermarket. Both military and commercial aftermarket were both up strongly, and that's revenue passenger kilometers, people keep getting on planes flying and that's translating into higher aftermarket growth as well. So I'd say it's been a fairly broad-based strength. The one place you'd look at the biggest segment which is commercial transport, you have very strong numbers being posted by Boeing, Airbus a little less so, but we think Boeing – if Airbus, excuse me, delivers their second half of the year, there's probably more strength there as well. And, so we think it's a pretty broad-based increase in our Aerospace business, and as you know, these big commercial OEs are sitting on record backlogs that are growing every day. So it was a very successful Paris Air Show where both companies booked very strong orders, and so we really think the aerospace industry is really set up for growth for an extended period of time.
Nicole Deblase - Deutsche Bank Securities, Inc.: Thanks, Craig.
Donald H. Bullock - Eaton Corp. Plc: Our next question comes from Steven Winoker with UBS.
Steven Winoker - UBS Securities LLC: Hey, thanks. Good morning, all.
Richard H. Fearon - Eaton Corp. Plc: Hi.
Craig Arnold - Eaton Corp. Plc: Morning.
Steven Winoker - UBS Securities LLC: Hey, so I just wanted to go back to Scott's question on the M&A front. Craig, you talked about kind of the usual 8% to 9% cost of capital plus 300 basis points over that that you're looking for. Just what kind of timeframe are you thinking about that you want to achieve those things? Given the step-up in M&A activity across a lot of your segments, I'm just trying to get a sense for the kind of competitive positioning that you have there.
Richard H. Fearon - Eaton Corp. Plc: Typically if you look at how our past acquisitions have done, we typically start a little bit below that 300 basis points over the cost of capital, but then we end up by year three or so at the cost of capital and then above that as you get past year three. So that's as you work the synergies into the equation.
Steven Winoker - UBS Securities LLC: But your discipline commentary means that you're not willing to see that stretch out these days because I think we are seeing that stretch out for a lot of M&A.
Richard H. Fearon - Eaton Corp. Plc: Well, we are – we have always said we're cash on cash buyers. We look at the cash we put out and the cash that comes in, and the time value of money makes a difference. And so all of that goes into our thinking, and I think what Craig was trying to communicate is we will remain disciplined. If we believe there are significant synergies that are truly actuable, then that'll factor into our numbers. But we also, with all the experience we've had, we know that it sometimes takes longer than you think to generate them.
Steven Winoker - UBS Securities LLC: Okay.
Craig Arnold - Eaton Corp. Plc: And it's always a matter of what the alternatives are as well. So we'll always look at as we think about discretionary cash, and the acquisitions will compete like everything else against other options for other investments that have also very strong returns. And I'd say we have a number of, whether it's organic growth or other ways of improving the effectiveness of the business, we have plenty of other opportunities we think to deploy cash in value creating ways.
Steven Winoker - UBS Securities LLC: Okay. And Craig, can you just comment a little more on that Hydraulics order rate in EMEA? I know it's capacity investment to reduce lead time such, but between that and some of the other supply based commentary, just wanted to get a sense of the organization's ability to keep up with demand across your network.
Craig Arnold - Eaton Corp. Plc: Yeah, and I would say we are in fact seeing improvement. So we don't want to overplay that. We're seeing improvement in our ability; we're seeing improvement in the supply base. But having said that, it's come slower than what we anticipated. With respect to the orders in Europe, and what we do is when we take a look at our orders internally, we take a look at when orders are due, and we look at things due within the next three months, due within the next six months, due within the next six to 12 months. And what we've seen in Europe specifically is a significant reduction in orders that are basically the long lead-time orders. And we think while it doesn't show up favorably on our orders chart, that's really a confirmation and a testament to the fact that we're getting better operationally in delivering. We've made big investments in new capacity, and so our customers today are actually placing orders that are more close to what the real demand is.
Richard H. Fearon - Eaton Corp. Plc: And if I could just add a couple of nuances to that. If you look in Europe, orders that we had in the second quarter due within three months, were actually up. Orders due past three months were down more than 50%. So we believe that that's because you no longer have to put these capacity reserving orders in. We simply have capacity. And we've added more than 10% capacity in our very large conveyance facility in Europe.
Steven Winoker - UBS Securities LLC: All right. Makes a lot of sense.
Craig Arnold - Eaton Corp. Plc: And we think the end markets continue to be strong. You obviously have seen a number of the companies in this space report, and at this point we think those markets continue to perform very well, and the underlying demand we think is still very strong.
Steven Winoker - UBS Securities LLC: Makes sense. Thanks. Good luck.
Donald H. Bullock - Eaton Corp. Plc: Our next question comes from Ann Duignan with JPMorgan.
Ann P. Duignan - JPMorgan Securities LLC: Yes. Good morning. Because we've had multiple companies reporting this morning, I'm going to ask you a simple math question. You've taken up your organic growth outlook, but you've maintained your margin guidance. So what is your revised incremental profit outlook versus the 40% you had guided to?
Craig Arnold - Eaton Corp. Plc: The way I would think about really kind of maintaining the margin range is that we provide a range because essentially it gives us a fair amount of ability to move within that. And so I would not read or overread much into the fact that we haven't changed the range. Certainly our expectations are to be within that range and certainly the midpoint can move one way or another depending upon what your assumptions are. So I would say with respect to the fact that we didn't change the margin guidance, I would not overread that. There is in fact a fair amount of uncertainty around the second half of the year, and I think more than anything, the fact that we didn't move that is a reflection of the uncertainty that we see in the marketplace with respect to trade and other variables that it's really difficult to predict and control which way it's going to head.
Ann P. Duignan - JPMorgan Securities LLC: Okay. But you were confident enough given your backlog in your orders to raise the organic growth outlook. Is that the way we should read that?
Craig Arnold - Eaton Corp. Plc: Exactly. It's exactly right. The backlog, as we talked about in a number of our businesses, whether it's Aerospace or Hydraulics or Electrical Systems & Services, the ones that build big backlogs continue to ramp, and so we think the backlog certainly provides a lot of confidence in our ability to continue to grow.
Ann P. Duignan - JPMorgan Securities LLC: Okay. And just a quick follow-up. Just on your early-stage growth, mid-stage, and late-stage, I wonder if you could give us more color on why you think that U.S. not-residential construction is only in mid stage. I mean, we've been expanding for eight years. It certainly feels like we're not going to fall off a cliff in the near term, but it certainly feels like we're in the later stages of expansion in U.S. non-residential construction. So if you could clarify that, I'd appreciate it.
Richard H. Fearon - Eaton Corp. Plc: I guess I'd cite three things, Ann. First of all the expansion we've seen in non-resi thus far in this cycle has been quite modest, much more modest than you typically see in expansion cycles. So that's point one. Point two, if you look at this growth in oil and gas spending, typically oil and gas spending flows into a variety of non-residential categories, and we think that you will see that occur again this time just as you've seen in the past sometimes it'd flow downward when oil and gas activity goes down. But now we're, in our view, pretty clearly in an up cycle in the oil and gas markets. And then thirdly if you look at more minutely at the Dodge contract data, it is signaling that you are going to see acceleration as you get to the back half of this year and into 2019. And so those are the three elements that give us confidence that you're going to see some pretty good conditions in non-residential construction.
Ann P. Duignan - JPMorgan Securities LLC: And any of the subsegments within non-residential you'd expect more acceleration or less acceleration? And I'll leave it there. Thank you.
Richard H. Fearon - Eaton Corp. Plc: I think you're going to see more acceleration in what I would call the heavier, the industrial, the oil and gas related type activities. Obviously you're also seeing it in things like data centers.
Ann P. Duignan - JPMorgan Securities LLC: Okay. I appreciate it. Thank you.
Donald H. Bullock - Eaton Corp. Plc: Our next question comes from Jeff Hammond with KeyBanc.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Hey. Good morning, guys.
Richard H. Fearon - Eaton Corp. Plc: Hi.
Craig Arnold - Eaton Corp. Plc: Morning, Jeff.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Hey. So a lot of discussion on supply chain. It seems like you've kind of alleviated some bottlenecks in Hydraulics yourselves. Just maybe talk about any signs of supply chain improving within Hydraulics and truck as we move through, and then conversely, any other businesses where you see it becoming a bigger problem. Thanks.
Craig Arnold - Eaton Corp. Plc: I'd say that we are in fact seeing signs of improvement both in Hydraulics and in truck. And you've obviously, Jeff, have heard what others in the space have said around some of these specific bottlenecks in truck and how those things are finding a way of working theirselves through. But I'd say typically in a lot of these industries, you could be six months away from, in the worst case from a demand signal that says something is changing to the ability to flow all that demand back to the supply chain base. And so we obviously have seen both of these markets really ramping over the last 18 months, and we have been chasing it for 18 months. But I think today, we're on top of it and we have a much better sense for where these markets are going. So in simple terms, I'd say we have seen signs of improvement everyplace. We are getting better. Our suppliers are getting better. We're doing a much better job of shortening lead times, and we talked about that a little bit in our Hydraulics business in Europe which is giving our customers confidence. But at this point I'd say that we certainly – it took us longer to get here than we'd hoped, and that's why we're experiencing some of these inefficiencies. So I'd say overall I think things should be better going forward.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Okay. And then just in EPG, it seems like Lighting has been clouding the growth rates for some time, and think your pointing to a little bit of growth in the second half. Just looking at the other businesses, is there opportunity to see some growth acceleration in EPG just as the Lighting comps get easier? Thanks.
Craig Arnold - Eaton Corp. Plc: Yeah. I think the Lighting comps get easier and I think our own business in Lighting actually has a better second half of the year. You saw the acceleration in EPG when you compare Q1 to Q2, and we would anticipate as you go into the back half of the year, that Lighting performs, relatively speaking, better. Somebody said easier comps, but the business, underlying business performs better and as a result, EPG performs better.
Richard H. Fearon - Eaton Corp. Plc: And remember, Jeff, you still have a fair number, a fair amount of industrial components in EPG in the Products segment and in those parts of that business are going to benefit of course by growth in the commercial and industrial assembly businesses as well as just oil and gas activity.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Okay. Thanks, guys.
Donald H. Bullock - Eaton Corp. Plc: Our next question comes from Steve Volkmann with Jefferies.
Stephen Edward Volkmann - Jefferies LLC: Hey, good morning. Thanks for taking my question. Couple of quick follow-ups. It feels to me like you guys actually ought to have pretty good visibility into 2019 when you look at some of this data center stuff we've talked about, ESS orders, Aerospace, some of the truck stuff that got pushed out. Can you just give us a sense of how you're feeling about your visibility into 2019 relative to, say, a year ago?
Craig Arnold - Eaton Corp. Plc: Well, I mean, certainly much better than a year ago. And as you've noted, a lot of the long cycle businesses that we anticipated to turn positive have turned positive. And so we certainly feel much better about our visibility into 2019 today than we did even three months ago. But having said that, in terms of guidance specifically for 2019, we think our markets grow. And we don't think that we're at the top of the cycle in many of our businesses. There's certainly a few extraordinary events in 2018 that are pushing markets up, but we think when you look at in terms of a long-term trend, we think many of our businesses, as we talked about in the context of where they are in the cycle, are either at the early point or the middle part of the cycle. And we continue to see growth into 2019.
Stephen Edward Volkmann - Jefferies LLC: Okay. Thanks. And then just to go back on Lighting for a second, it's nice to see that sort of stabilizing. But as you mentioned, it still sort of mixes your margin down. And I'm just curious if you've changed the way you think about Lighting as kind of a core business of Eaton going forward and is there any chance to perhaps find another way to kind of deal with that going forward.
Craig Arnold - Eaton Corp. Plc: Yeah, we're focusing on winning in the marketplace. We have made a slight adjustment to our strategy for Lighting in terms of how we think about kind of some of the more commoditized piece of the space, but other than that, no change at all in our strategy with respect to Lighting. We think it's got a lot of great underlying technology. It is very complementary with what we do in the rest of our Electrical business, and so no change in strategic direction.
Stephen Edward Volkmann - Jefferies LLC: And do you have a way to improve margins going forward?
Craig Arnold - Eaton Corp. Plc: Yeah. Part of the things that we're doing to improve margins is, as we talked about, where we focus and how we decide to participate or not in some of the more commoditized parts of the business. So there is that element of it. In our Lighting business, no different than the rest of our organization, we have undertaken a number of restructuring initiatives to get at some fixed costs and structural costs, and we'll continue to invest in the high end of Lighting in the area of controls and connected Lighting, and that segment of the market tends to have more attractive margins.
Stephen Edward Volkmann - Jefferies LLC: Great. Thank you very much.
Donald H. Bullock - Eaton Corp. Plc: Our next question comes from Deane Dray with RBC.
Deane Dray - RBC Capital Markets LLC: Thank you. Good morning, everyone.
Richard H. Fearon - Eaton Corp. Plc: Hi.
Craig Arnold - Eaton Corp. Plc: Morning.
Deane Dray - RBC Capital Markets LLC: Hey, for Rick, like to get some more color regarding the working capital dynamics you touched on. Not surprised to see some working capital build with the increased order levels, but maybe some color on the pre-buy on the inventory ahead of the tariff noise and maybe you could size that for us.
Richard H. Fearon - Eaton Corp. Plc: Yeah, I think a simple way to think about it, Deane, and maybe to put it into context is that if you looked at our classic working capital at the end of June, namely receivables inventory less payables, and you compared – that number was about $4.7 billion, and if you compare that to our annualized sales in Q2, our working capital as a percentage of sales was 21.2%. For most of the last couple of years, it's been between 19% to 20%. And the reason it's higher is exactly as you say. The growth in sales, particularly in some of these longer cycle project type businesses, caused receivables to increase. But we also both positioned inventory for the continued sales growth but also took some positions in order to forestall having to pay higher prices. And the kind of numbers you're talking about in inventory increase are in the order of $100 million-ish kind of dollars, and so – but if you run through the math of 21.2% compared to 19% to 20% on average, you'll see that we definitely have opportunity to bring the working capital levels down as the year progresses.
Deane Dray - RBC Capital Markets LLC: That's real helpful. And then as a follow-up, I don't think I've heard data centers get called out so many times in a positive way in quite a while. So just want to circle back on this one. Is there any share gains in the quarter? And then maybe just, if you could, Craig, touch on the approach to servicing the hyperscale customer. They require a completely different set of architecture, hot switchovers and so forth. So what's working well in serving that part of the market?
Craig Arnold - Eaton Corp. Plc: Yeah, and I think to your point, quite frankly 2017 was a little bit of a surprise and a disappointment in terms of what happened in data centers given the underlying demand and the underlying growth in data generation and data consumption. So there's probably a little bit of catchup taking place this year in the market, but the long-term growth trends for data generation, I mean, it's growing at more than a 20% compounded rate a year, and so we think the long-term growth rate in data centers and hyperscale continues to be very, very positive. I'd say that, to your point around a lot of the big hyperscale data center companies, they all have very unique architecture around the way they protect their data centers and the way they configure their data centers, and they will sometimes go through periods where they'll take a pause and they'll rethink the way their data centers are laid out. And so I think you'll find that some of that took place during the course of 2017, and there's perhaps new configurations that are coming out there today. But we're seeing very strong demand across all of the major players and data centers as they really build out their capability for this underlying growth in the market. We do think we're taking some market share, but always difficult to tell for certain exactly where this is going to end up. But we, as a company, are very well positioned in terms of our global footprint, certainly in the UPS space but more importantly in the switchgear space. Our company is very well positioned. We have a very strong reputation with all the data center companies, and we think it's a place where we're going to continue to grow for some time to come.
Deane Dray - RBC Capital Markets LLC: That's great color. Thank you.
Donald H. Bullock - Eaton Corp. Plc: Our next question comes from Mig Dobre with Baird. I guess we'll move on to Andy Casey with Wells Fargo.
Andrew M. Casey - Wells Fargo Securities LLC: Thanks a lot. Excuse me. Question around the implied Q4 organic expectations. I'm backing into a deceleration of somewhere in the 2% to 4% range, but I know this can get thrown off by rounding in Q4 2017 comps. Can you comment on what's included in the current guidance for Q4?
Craig Arnold - Eaton Corp. Plc: Well – go ahead. You want to take it?
Richard H. Fearon - Eaton Corp. Plc: I was going to say, Andy, if you just look at the full-year guidance we've given and the third quarter guidance, you would see that the rate of growth on higher comps will not be quite as high in Q4. That's our expectation at the present time. Now normally, as you know, you do have sometimes a seasonal impact in Q4. We'll just have to see whether that seasonal impact occurs this year given how strong the underlying markets are.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. So thank you, Rick. I should just look at that as kind of a placeholder given all the uncertainty?
Richard H. Fearon - Eaton Corp. Plc: Yes.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. Thank you very much.
Donald H. Bullock - Eaton Corp. Plc: Our next question comes from Julian Mitchell with Barclays.
Julian Mitchell - Barclays Capital, Inc.: Good morning. Thank you for squeezing me in. My first question would just be around the backlog. You called it out a lot more in this call and in the slides than prior calls. Classically I guess your backlog is worth less than one quarter's worth of sales. I think it was about $5.2 billion at the end of March against sales in Q2 of $5.5 billion. So I guess within ESS, Hydraulics, and Aerospace specifically where you call out the backlog, give us some idea of how much visibility you have in those three businesses in terms of that backlog, please.
Richard H. Fearon - Eaton Corp. Plc: I can take a stab at it. First of all, there are various businesses like Vehicle where we don't have backlogs or at least we don't regard them as stable, so we don't report them. So you need to factor that in. But in general, if you look at our businesses and you look at backlogs over the ensuing 12 months, the backlogs, particularly in project businesses, can be 30% to 40% of the next 12 months. In a case like Aerospace, the backlog will be really high. I can't give you a precise number. And the reason is that the orders are placed well in advance. And so it's a mixed bag. In Vehicle, we typically say we don't have backlogs. We do sort of have a general idea, but we don't have specific back logs. In Aerospace, it's very highly locked in. In larger project businesses it's probably 30% to 40%. And then in Electrical Products, it tends to be much more of a flow type business. So the backlogs are much lower coverage of the next 12 months' revenue.
Craig Arnold - Eaton Corp. Plc: And Julian, I'd say the reason we probably put more emphasis on backlog this time than perhaps in prior calls is there's been a lot written and speculated about where we are in the economic cycle, and so we're also looking at this thing just to get a sense for, are we continuing to grow our backlog and build strength into the future, or are things moving in a different direction? And we come away from our own assessment of the backlog and the fact that we're growing backlog in most of our businesses very positive around the outlook for the second half and 2019.
Julian Mitchell - Barclays Capital, Inc.: Thank you for that color. It's very helpful. Maybe following up, Rick, you touched on Vehicle where the concept of a backlog is not particularly useful. So maybe just flesh out a little bit the guidance for Vehicle. You grew low-double digits in the first half. The growth for the year is I think penciled in at about 6% organically. Maybe give us any help on how you're thinking about truck in Brazil and North America versus light vehicle in terms of your second half growth rates.
Richard H. Fearon - Eaton Corp. Plc: Well, you can see with the full-year guidance we've given for Vehicle that the growth rate in the back half of the year will be less than in the front half of the year. A lot of that has to do with prior-year comparisons. It also has to deal with some constraints on production that we're seeing in various parts of the market. So as I think Craig mentioned, you saw very strong Class 8 growth in the first half of the year. It won't be as strong in the second half of the year. So those are some of the factors. But all, if you step back and look at the underlying direction of the vehicle markets, we see continued good growth in Class 8 in NAFTA. We see continued strength in the South American markets and broadly the automotive markets have performed a little bit better than we thought this year with growth in Europe and APAC and a little bit of a decline in the U.S. as expected. So we feel pretty good about the underlying tonality of the vehicle market.
Julian Mitchell - Barclays Capital, Inc.: Great. Thank you.
Donald H. Bullock - Eaton Corp. Plc: Our next question comes from Andrew Obin with B of A.
Andrew Burris Obin - Bank of America Merrill Lynch: Yeah, thanks for squeezing me in. Just a question on Hydraulics. Our channel checks indicated that on longer lead items I think lead times went up from months to over a year. And I'm just wondering now that your capacity has caught up, how long will it take to sort of adjust things in the channel? And I guess what I'm concerned about, are we going to see multiple quarters of negative orders or significant sort of volatility in growth rates? How long will it take to clear it through the system?
Craig Arnold - Eaton Corp. Plc: Yeah, that's a little bit of a difficult question to speculate on, Andrew. We certainly appreciate why you're asking it. I'd say for the most part, I'd say these changes take place relatively quickly, and as evidenced by what happened in our own business in Europe where a lot of the long lead time orders, the placeholders, if you will, that are put out six months to nine months out where people are just trying to hold a slot, those orders are relatively very quickly adjusted and changed. And so I don't anticipate that it's going to take very much time at all for those adjustments to be made in the ordering pattern, whether it's through our OEMs where you see it more strongly or with distribution. So I think it's a relatively short adjustment.
Andrew Burris Obin - Bank of America Merrill Lynch: Got you. And then just a follow-up question on Aerospace. One of the themes at Farnborough I think was somebody described it as this bear hug from Boeing where Boeing is basically going to supply chain, asking for significant price concessions, asking for share of MRO business particularly to participate on NMA or 777X. Can you sort of comment on what you guys are experiencing and how should we think about the profitability of the aerospace business long-term given Boeing's demands?
Craig Arnold - Eaton Corp. Plc: I'd say we've learned to dance with the bear, I'd say. We have certainly been involved with both Boeing and Airbus, and the things that they're trying to do strategically. And I'd say that suffice it to say that we have very effective working relationships with both Boeing and Airbus. We understand what their objectives are, and we think that there's plenty of room for win-win solutions with both Boeing and Airbus, finding ways to continue to grow our business and participate more fully in what they do, and also be responsive to what their requirements are. So we don't think that the initiatives that are taking place today inside of Airbus or Boeing, we don't think either one of those two will be problematic for our teams to manage in the course of business.
Andrew Burris Obin - Bank of America Merrill Lynch: So no structural change of profitability going forward with the new contract structure?
Craig Arnold - Eaton Corp. Plc: No, none whatsoever.
Andrew Burris Obin - Bank of America Merrill Lynch: Fantastic. Thanks a lot.
Donald H. Bullock - Eaton Corp. Plc: Our last question today comes from Mig Dobre. Looks like we had a little problem with the queue earlier, Mig. I'm going to turn it over to you for the last question of the day.
Mircea Dobre - Robert W. Baird & Co., Inc.: Great. Can you hear me now?
Donald H. Bullock - Eaton Corp. Plc: Yeah, perfect.
Mircea Dobre - Robert W. Baird & Co., Inc.: Okay. Perfect. Perfect. So one last question on Lighting for me. One of your competitors mentioned that this might actually be one area that benefits from 301 tariffs. And I know that obviously you're not at the lower end of the market, but I'm wondering what your perspective is as to how industry dynamics might change here, and is it feasible to think that, broadly speaking, pressure on profitability sort of shifts and you actually get some tailwinds into 2019?
Craig Arnold - Eaton Corp. Plc: Yeah, no, and we certainly have looked at 301 in the context of that same issue and whether or not it should be a net benefit to our Lighting business. At this juncture I would say that it's too early. It's very possible that with tariffs being put on lighting products coming out of China and a lot of the low-end lighting coming from China that there is in fact a bit of tailwind and help for the market and the industry overall. But I would just say the way we think about it today is it's just too early to judge whether it's going to play out that way, and it's not baked into our forecast that way, and if it turns out to be a net positive, it certainly would be a bit of upside for us.
Mircea Dobre - Robert W. Baird & Co., Inc.: Appreciate it. Thank you.
Donald H. Bullock - Eaton Corp. Plc: With that, we'll wrap up our call and question-and-answer today. As always, Chip and I will be available for any follow-up questions you might have afterward, and thank you very much for joining us today.
Operator: That does conclude your conference for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.